Operator: Good afternoon. My name is Lydia, and I'll be your conference operator today. At this time, I'd like to welcome everyone to BILL's Fiscal First Quarter 2026 Conference Call [Operator Instructions] I'll now turn the call over to Jun Wang, Director, Investor Relations. You may begin your conference.
Jun Wang: Thank you. Good afternoon, everyone. Welcome to BILL's Fiscal First Quarter 2026 Earnings Conference Call. We issued our earnings press release a short time ago and filed the related Form 8-K with the SEC. The press release can be found on our Investor Relations website at investor.bill.com. Joining me on the call today are Rene Lacerte, Chairman, CEO and Founder; John Rettig, President and COO; and Rohini Jain, CFO. Before we begin, please remember that during the course of this call, we may make forward-looking statements about the future business, operations, targets, products and expectations of BILL that involve many assumptions, risks and uncertainties. Actual results could differ materially from those expressed or implied by our forward-looking statements. In addition to our prepared remarks, please refer to the information in the company's press release issued today. Our Q1 '26 investor deck and our periodic reports filed with the SEC, including our most recent annual report on Form 10-K and quarterly reports on Form 10-Q. We disclaim any obligation to update any forward-looking statements. On today's call, we will refer to both GAAP and non-GAAP financial measures. Please refer to today's press release for a reconciliation of GAAP to non-GAAP and additional information regarding these measures. With that, let me turn the call over to Rene. Rene?
René Lacerte: Thanks, Jun. Good afternoon, everyone, and thank you for joining us today. We're off to a strong start in fiscal '26, delivering first quarter results at the top end of our guidance range for core revenue and achieving a substantial beat on profitability. Our focus on driving business results while expanding the value of our platform is working. The Fortune 5 million need BILL to help them operate more efficiently, manage cash with greater confidence and navigate an increasingly complex financial environment. Our focus on intelligent automation and efficient operations is driving real impact for customers and strengthening our business. We made significant progress on our strategic priorities since our last call. Here are a few key highlights. First, our strong execution and disciplined investment delivered solid financial results. Our core revenue grew to $358 million, up 14% year-over-year. Additionally, we posted a non-GAAP operating margin of 17%, a significant expansion as a result of our continued focus on profitability. Second, we signed 3 broad-reaching Embed partnerships with category-leading software providers, significantly extending BILL's reach and positioning our platform directly within the tools where millions of SMBs already work. Third, we advanced our AI leadership with BILL's new intelligent AI agents, which deliver automation capabilities that are transforming financial workflows from manual to touchless. We continue to enhance the value delivered through BILL's platform with features that simplify financial operations and deepen customer engagement. BILL exists to empower the Fortune 5 million. Our momentum is anchored in the trust of nearly 0.5 million businesses and over 9,000 accounting firms, trust that fuels growth unlocks opportunity and uniquely differentiates BILL in the market. In today's environment, where every dollar and hour matter, that trust enables us to reshape financial operations for SMBs, replacing friction and complexity with simplicity, speed and confidence. Powered by our platform strength and the network we've built, BILL is transforming how SMBs manage their finances and move money, setting the standard for intelligent, scalable financial operations. As more and more software solutions become available, we think it is critical to meet the customer where they are. That is why we have always had a focus on developing our platform with partners in mind. Last year, we launched our Embed 2.0 strategy to remove friction for partners to quickly and easily leverage our unique size and capabilities for their customers. This focus allows us to accelerate our ability to efficiently and effectively expand BILL's reach and creates a compelling long-term growth opportunity. Since last quarter, we've taken a major step forward with 3 new embedded partnerships across top-seated software providers. These partners collectively serve almost 1 million small and midsized customers, representing an estimated $1 trillion in annual payment volume. In October, we announced a strategic partnership with NetSuite. The new BILL powered payment automation capability, which is embedded in NetSuite's intelligent payment automation helps customers accelerate accounts payable processes, increase efficiency and reduce risk. It's available to all U.S. NetSuite customers, meaning that tens of thousands of businesses can access BILL's leading AP automation and payment solution directly inside NetSuite's #1 AI cloud ERP. Additionally, we're also excited to announce our new embedded partnership with Paychex, one of the largest payroll and HR providers in the U.S., paying 1 out of every 11 American private sector workers and serving hundreds of thousands of SMB customers. With unmatched distribution through a vast accountant network and dedicated sales force for SMBs, Paychex further extends BILL's ability to reach and support millions of small and midsized businesses nationwide. Our next and most recent embedded partner is Acumatica, one of the fastest-growing ERPs that serves a large and growing base of mid-market businesses across industries like construction, manufacturing, distribution and professional services. By embedding BILL's AP capabilities natively into Acumatica system, thousands of SMBs gain direct access to BILL when they need it most. Industry-leading software companies are choosing BILL to enhance the value they provide to their customers. These partners selected BILL to leverage our scale, data and payment capabilities, enabling them to efficiently diversify their customer relationships, deliver greater efficiency and drive more revenue. As a result, we're able to expand the market and accelerate BILL's reach to businesses large and small. In addition to scaling BILL's reach through our Embed 2.0 initiative, we're also expanding the delivery of strategic finance capabilities to SMBs, deepening the value we provide and helping businesses manage and move money more intelligently. In Q1, we launched BILL Cash account, which is a high-yield, fully integrated operating bank account that lets businesses do more than track their money. It helps them manage their money by optimizing their cash flow, enabling faster payments, earning interest and providing seamless control and visibility across all of their transactions, all within the platform they already use for payables, receivables and spend and expense. In addition, we continue to expand the capabilities across our core platform, adding advanced reporting in the account council, new self-service global payment tools, a more extensible API platform and new third-party integrations. Our new Gmail and Lyft integrations for Spend and Expense are great examples of how we're embedding BILL into the tools businesses already use every day. Receipts now flow automatically, saving customers time and eliminating friction from expense management. This is another example of extending our reach to meet businesses where they work. BILL's platform is increasingly intelligent, increasingly autonomous and increasingly essential to how BILL's customers manage their finances. As a leader in delivering predictive and generative AI, BILL is once again redefining our platform in the category with Agentic AI. Our new AI agents represent a paradigm shift in automation at the operational level, building the foundation for a new era of touchless B2B transactions. Our vision goes beyond simply speeding up existing workflows. We are eliminating unnecessary busy work and friction. While Fortune 500 companies have enjoyed automation for years, the Fortune 5 million still face paperwork, policy gaps and costly trade-offs because no one has ever built the workflows they need. We are rapidly changing that. Through the BILL network, we've created one of the most comprehensive real-time financial maps of the SMB economy. Our network grows, our data advantage grows as well, increasing both the scale of our insights and the depth of our understanding we have into how SMBs operate and what they need most. We have the unique capability to see how SMBs move money across industries in real time, revealing patterns and connections that no one else can see. And this visibility is powered by the reach of our network. 1% of U.S. GDP flows through BILL with more than half of that between members of our network. Having processed over $1 trillion in transaction volume and 1.3 billion documents, we built the richest verified financial data set in our category. As a highly trusted company, BILL holds the highest financial, regulatory and privacy standards. We're now leveraging this combination of scale, data and trust to power BILL's Agentic AI, purpose-built agents that go beyond traditional automation to deliver strategic finance capabilities and enable a future of truly touchless B2B transactions. Here are a few examples of how our new agents are already making it easier to connect and do business. One of the biggest pain points for SMBs during tax season is managing 1099s and collecting the required W-9s. Our new W-9 agent automatically requests, collects and pre-validates W-9s on behalf of customers for all of their new suppliers throughout the year, making what no business wants to touch touchless. This agent eliminates over 80% of the manual steps and is now generally available for BILL's AP customers. By eliminating this workflow, we estimate that we can help save more than 80,000 days of unnecessary work that is collectively spent by BILL's AP customers annually on W-9s. This is a game changer and enables SMBs to focus on strategy and growing their business. Next, we believe expense processing should also be touchless. We've introduced a new agent that automatically codes transactions, eliminating the need for data entry and reconciliation. Initial results show this agent dramatically decreasing the need for manual work, saving our customers' time while increasing accuracy. Building on the same agentic foundation, we're simplifying user onboarding for spend and expense, automatically creating virtual cards and permissions so our customer employees can be enabled even more quickly and spend compliantly from day 1. We've also introduced our new Agentic Bill Assistant to provide personalized instant answers to customer inquiries and troubleshoot common issues. This means customers spend less time managing the back office and more time growing their business. These new agents are just the beginning of our agentic journey. We're excited for customers to use them and to continue to leverage our scale and unparalleled expertise around SMB financial operations to develop more agents that eliminate workflows and the friction of doing business. The future for SMB finance is touchless and BILL is delivering it. As we look ahead, we have strong momentum and a clear path for creating value delivery for customers through AI, which positions BILL for durable growth. This quarter, we introduced important products to help small and midsized businesses operate more efficiently and unlock new opportunities. At the same time, we are building a more efficient and agile organization. The steps we've taken to align our cost structure, streamline operations and invest in high-impact areas are positioning BILL for sustainable success and long-term profitability expansion. We're strengthening our foundation for the future with the addition of 2 new independent directors. We recently appointed Peter Feld, Managing Member, Portfolio Manager and Head of Research at Starboard Value and Lee Kirkpatrick, former Chief Financial Officer of Twilio, to our Board. Their combined and deep expertise in finance, digital transformation, fintech and operational excellence will help BILL as we execute our strategy, accelerate innovation and drive long-term value creation. We'd also like to thank Steve Fisher for his service and invaluable contributions to BILL's growth and success. We're focused on executing our strategy and continuing to build on the strong and differentiated foundation we've established. In the quarters ahead, we'll share a deeper view of BILL's long-term vision and financial framework, highlighting how our scale, data and platform innovation position us to redefine intelligent finance for SMBs, drive sustained growth and create lasting value for our shareholders. I'll now turn it over to John to share more on our Q1 fiscal '26 performance and key initiatives.
John Rettig: Thanks, Rene. Our Q1 results exceeded our expectations as a result of focused execution and strong operational rigor. As you heard from Rene, we made great progress on our strategic priorities. To start, we expanded our ad valorem payment portfolio to deliver increased value for both buyers and suppliers. In Q1, we introduced BILL Cash account, the first step of a broader treasury capability. It serves as an operating bank account that enables fast payment speed, integrates seamlessly with BILL and accounting software and generates revenue for both customers and for BILL. Early feedback from customers is very positive. Steve Chaney, CEO of accounting firm, Chaney & Associates, has scaled his firm to serve more than 1,300 clients on BILL since 2019. Steve said and I quote, "The BILL Cash Account makes the platform we rely on even more powerful. Now I have a one-stop shop to manage payables, card spend and cash all in one place. Many of our clients are churches and nonprofits, and this integration simplifies how money moves in and out of their organizations, helping them manage cash flow more efficiently and maximize their funds in a single trusted place." The combination of BILL Cash Account and our broader financial operations platform is a powerful flywheel that enables customers to manage more of their funds and transactions within the BILL platform. This drives TPV per customer expansion and creates an opportunity for transaction monetization growth. Our Supplier Payments Plus solution, or SPP, is our newest advanced ad valorem payment product, and it entered the commercial scaling phase in the first quarter. SPP is designed for the largest suppliers in our diversified 2-sided network and advances how we serve them by unifying payments, workflows and dedicated account management into a comprehensive purpose-built offering. Suppliers today often navigate dozens of disconnected portals to submit invoices and track different types of payments, which consumes time and increases the cost of payment acceptance. We are solving this pain point with an integrated software and payment offering that serves as a single destination for suppliers to track and manage receivables and access rich remittance data. The strong value proposition of this solution is resonating with large suppliers in our network. While it's early in the commercial phase, suppliers are leveraging this new capability to complement virtual card payments with enhanced ACH and some are leaning in with annual or multiyear agreements. We see an opportunity to engage suppliers at a broader payment portfolio level by providing them with tools to optimize receivables for convenience, flexibility and control. As with many enterprise solutions, the sales cycle is longer than our historical SMB trials, and we are building out our enterprise go-to-market capabilities to accelerate prospect conversion. Shifting to our progress in mid-market. Our Spend & Expense solution continued strong traction with higher spend businesses who typically have a large volume of transactions and complex business rules. In Q1, card spend per customer reached a record high of $145,000. In support of these larger businesses, we recently introduced a set of new functionality that enable businesses to integrate with their vendors and automatically collect, match and categorize receipts. We also rolled out upgraded budget workflows that allow businesses to configure and customize based on their business policies, increasing the depth of our solution and driving stronger engagement. As we move upmarket, we're adapting our approach on balancing customer unit economics with market penetration. We are shifting more direct go-to-market resources towards larger AP/AR and Spend & Expense prospects where we see strong unit economics and greater monetization opportunities. On Spend & Expense specifically, we are prioritizing customer segments where we can improve rewards efficiency over time, aligning our sales and marketing objectives with incentive structures that support higher quality, more durable revenue. Our accounting channel is a key foundation of our distribution strategy, a durable advantage that enables us to expand our ecosystem, acquire customers efficiently and drive multiproduct adoption. Accountants rely on BILL as a core technology component of their past practices, and we are making progress extending our distribution reach. In Q1, we added more than 250 accounting firms, bringing our total to over 9,300 firms. We're now replicating our playbook with the new Embed 2.0 partnerships. As Rene mentioned, we recently signed 3 important partners, NetSuite, Paychex and Acumatica. These partnerships will accelerate our ability to drive adoption of the BILL platform among small and midsized businesses. Importantly, we will roll out the full portfolio of our payment solutions to these partners over time, enabling them to deliver more value to their customers while deepening the value we realize in return. In October, NetSuite Intelligent Payment automation powered by BILL was announced and customers are already using it, representing a significant proof point of our Embed 2.0 strategy in action. We're now working closely with our other partners as they progress towards general availability in the coming quarters. Turning to our progress on AI innovation. We introduced new AI agents in onboarding, support and workflows such as vendor management, payments and receipt management. These new agents allow SMBs to bypass step-by-step processes and complete tedious tasks instantly. Furthermore, we're also scaling the use of AI internally to drive meaningful productivity gains across all BILL internal teams. For example, within our front-end modernization work stream, our engineering teams are leveraging AI to automate code generation, testing and refactoring. In the areas where AI was applied, we're seeing significant improvement in developer productivity, empowering our engineers to accelerate delivery while maintaining quality. In summary, in Q1, we executed well on our fiscal '26 priorities with a simultaneous focus on profitability expansion. In October, we made progress on further aligning our organization with our strategic priorities and increasing operational efficiency, which Rohini will cover in more detail. We are executing with clarity and speed, positioning us to continue leading the financial operations category while delivering greater shareholder value over time. I'll now hand the call over to Rohini to provide more details on our financial performance.
Rohini Jain: Thank you, John. We started the year with significant momentum and continued our track record of delivering on our commitments. As we shared on the last earnings call, our focus continues to be on scaling BILL into a much larger and a more profitable business. Our Q1 results underscores that focus with strong revenue growth and profitability expansion. In Q1, we delivered $358 million in core revenue, growing at 14% year-over-year, hitting the top end of our guidance range. Non-GAAP operating income was $68 million, $10 million ahead of the high end of our guidance, driven by disciplined expense management and some deferred investment timing. Let me share some key highlights of our Q1 performance. Within our integrated platform, BILL AP/AR revenue grew 10% year-over-year. Subscription revenue grew 6%. We added 4,000 net new customers during the quarter. This level of net adds is lower sequentially and reflects our enhanced focus on higher ROI customer acquisition and ARPU expansion. BILL AP/AR transaction revenue was $123 million, up 12% year-over-year. TPV per customer saw a slight decrease, which was in line with our expectations. AP/AR transaction monetization increased 0.3 basis points year-over-year. BILL Spend & Expense card payment volume increased 21% year-over-year, driven by strength in retail spend. Spend & expense revenue totaled $157 million in Q1, reflecting a 19% growth year-over-year. Rewards increased to 132 basis points as a percentage of payment volume, up 10 basis points compared to Q1 '25. We are now scrutinizing and actively adjusting our reward structure. We expect this will result in rewards flattening and over time declining as a percentage of TPV. Moving on to profitability. Non-GAAP operating margin expanded over 250 basis points sequentially or approximately 300 basis points, excluding the benefit of float revenue. These strong profitability results reflect our ongoing focus on operating efficiency, a temporary pause in hiring and a deferral of certain investments. Shifting to our business update. As you heard from John, we began the year with strong momentum driven by focused investment and execution approach. We are carrying this principle forward and applying a strong profitability lens across operational and investment decisions. On our last earnings call, we noted that our fiscal '26 profitability guidance reflected this disciplined approach, one that emphasized continued expense management and further structural efficiencies. As a part of this initiative, over the last 2 months, we have finalized and executed a reduction in force of approximately 6%. In connection with this action, we incurred $9 million of restructuring charges in Q1. These charges, which are excluded from our non-GAAP results, consisted primarily of cash expenditures of severance payments, employee benefits and related costs. As we pursue more meaningful operating income expansion over the next few years, we are undertaking additional initiatives across our revenue profile and expense base, including the following: on the top line, we are taking actions to enhance the quality of revenue, for example, prioritizing higher-value customers and ARPU expansion over net adds growth, ROI-based approach to rewards and evolving our pricing to better reflect the value we deliver. On the expense side, we plan to expand our talent footprint strategically in low-cost geographies. In addition, we have partnered with a third party to perform a comprehensive outside-in assessment of our cost structure. This work, combined with the internal efficiency actions already underway, will support continued improvement in profitability. Before we get into the detailed guidance, here are a few key assumptions. First, I want to reiterate our fiscal '26 AP/AR volume and take rate expectations. We are assuming flat volume per customer and a similar level of take rate expansion as we did in fiscal '25. On Spend & Expense, we expect card payment volume to grow in the high teens year-over-year in fiscal '26 and the take rate for fiscal '26 to be slightly above 250 basis points. Second, we updated our float yield assumption to be in line with the current consensus. That now includes one additional rate cut anticipated in calendar '25. The updated float yield assumption reflects the Fed funds rate exiting fiscal '26 at approximately 325 basis points. Third, on the cost side, as I mentioned last quarter, our full year guidance reflected structural changes aimed at driving efficiencies. The recent 6% reduction in force was a direct outcome of these initiatives and was already incorporated into our prior fiscal '26 guide. Now turning to guidance. For fiscal Q2 '26, we expect total revenue to be in the range of $395 million to $405 million and core revenue to be in the range of $359 million to $369 million, reflecting 12% to 15% year-over-year growth. On the bottom line, for Q2, we expect to report non-GAAP operating income in the range of $63 million to $68 million. We expect non-GAAP net income in the range of $63 million to $67 million and non-GAAP EPS to be between $0.54 and $0.57. Shifting to full year guidance. For fiscal '26, we expect core revenue to be in the range of $1.46 billion to $1.49 billion. We expect float revenue of $134 million, $5 million lower than the prior guidance, bringing total revenue to the range of $1.6 billion to $1.63 billion. Turning to the bottom line. We expect non-GAAP operating income in the range of $257 million to $277 million or 16% to 17% in non-GAAP operating margin. Our updated operating income guidance implies an ex float margin expansion of more than 290 basis points compared to fiscal '25. Relative to our prior guidance, the updated outlook reflects a $16 million increase in ex float profitability or 106 basis points of additional margin improvement. We expect non-GAAP net income in the range of $249 million to $265 million and non-GAAP EPS to be between $2.11 and $2.25. For fiscal '26, we expect stock-based compensation expenses to be approximately $260 million, which is $30 million or 10% lower than we previously communicated. This implies SEC at approximately 16% of revenue. In closing, we executed with rigor and discipline and delivered a strong Q1. We made significant progress executing our strategic priorities and driving greater efficiency across the organization. Looking ahead, we see tremendous opportunity to deepen the value we deliver for SMBs, extend our market leadership and position the company for sustainable, best-in-class financial performance. And now we'll open up the call for Q&A.
Operator: [Operator Instructions] Our first question comes from Andrew Schmidt with KeyBanc.
Andrew Schmidt: It's great to see the product advancements and all the integrations that you guys have rolled out. So good job on that. If I could ask about the move up market. If you could talk about whether you're seeing that in your customer numbers yet or if that's to come? Obviously, it's a nice needle mover once you get that going. But -- and then if we could also, as a corollary to that, talk about the payback period, unit economics, sales and marketing intensity as you kind of shift up market that you should expect. I know you've already kind of been moving up already, but it seems to obviously be a little bit more of a concerted shift now.
John Rettig: Yes. Thanks for the question, Andrew. Our focus on mid-market has been a bit of a -- an evolution where it started as an organic pull where we saw increased demand in the market from larger businesses. And that's now become a deliberate strategy where we're proactively investing in our go-to-market resources and capabilities and tactics as well as product capabilities where we're rolling out new features for procurement, multi-entity, bulk pay, supplier payments and things like that. So demand has been good. And I think we're making steady progress at evolving the composition of the new customers that we acquire, and we continue to see good results with acquiring mid-market businesses. To move the needle on the business overall, it is going to still take a little bit of time, just given the size of the installed base that we have in terms of customers and revenue. But as we've said previously, a typical mid-market customer is probably 2x the size in terms of TPV than the average SMB, and they're much more likely to adopt multiple products. This translates into much higher ARPU, TPV, [ Aval ] payments, all of which will improve our unit economics. And that's really one of the main drivers of this area of focus for us.
Andrew Schmidt: Got it. And then maybe I could ask about AI, obviously, on everyone's mind these days. It's great to see the agent rollout. Maybe you could just discuss the pipeline when you think about just the role that agentic plays for BILL. And then also just anything on how the monetization might evolve. There's a lot of questions about how you monetize or if this is just a retention factor. Anything there would be great.
René Lacerte: Thank you, Andrew. Yes, we're very excited about what we can do with AI and what the impact it will have for our customers. And I think when we step back and look at the assets that we've built at BILL, we have a unique data set. I mean we've got 1% of GDP and half of that flows between network nodes on the BILL platform. We've got great SMB expertise about financial operations, understanding the workflow that really matters to them, what's going to save them time, ultimately is what's going to save them money, and we're very much been focused on that since day 1. And when you combine that data and that expertise, our ability then to kind of leverage that into agents that make meaningful impact, it's real. And so I'll just take one to call out, which is the W-9 agent. It's a workflow that is -- obviously, it's a painful process for folks. But when we talk to customers and we talk to many, one of the examples of this impact for one of our customers is that it's going to save them 1/4 of the time in annual year -- fiscal year for them when it comes to processing these W-9s. Over 1,500 W-9s they need to collect and work on, and it's an iterative process, getting those suppliers to come in for their clients. This is an accounting firm, Highline where they've been able to quantify just in the early days that it's a meaningful impact. And so that's the type of impact we've always looked to do at BILL, our mission is to make it simple to connect and do business. That's a great example of doing business more efficiently. And that leads to opportunities for us to actually drive additional price effectiveness, if you will, value for our customers. We are in the early days of actually rolling out these agents as we talked about. We have a broader pricing strategy, which I think John could talk to a little bit here, but it's the monetization you're talking about would be part of the broader strategy.
John Rettig: Yes. It's actually a really interesting time in the evolution of our platform and our capabilities and the value that we're able to deliver to our small business customers and how that influences our pricing strategy. We've obviously added a ton of capabilities lately. And we have made a couple of near-term pricing changes, things like adjusting some transaction pricing last quarter, some pricing tier changes more recently. And these are really just short-term actions we've taken, but they're in the context of a much broader pricing optimization effort that we have. And that's where we think AI actually becomes an additional tailwind as we think about optimization over time. And what we're trying to accomplish is creating strong alignment between the value we're delivering and the value that BILL also generates from these customer relationships, and that should have a positive impact on customer ARPUs and revenue per customer over time. We don't have a specific time line for the impact of these pricing initiatives, but I can say that it is an important priority and initiative at BILL in fiscal '26.
Operator: Our next question comes from Darrin Peller with Wolfe Research.
Darrin Peller: Good start to the fiscal year. Can we just start off by talking about what obviously came up a lot during the quarter with different investor involvement and Board changes that you alluded to earlier and the Rule of 40 that you called out agreeing to. And just help us understand, first of all, the definition in your mind of Rule of 40 in terms of -- I'm assuming it's core revenue growth, does it include or exclude any items? And is it on operating income? Just a little more specificity would be great. And then more importantly, just your thought process of what you think it takes to do it from a cost standpoint and an investment standpoint.
René Lacerte: Thank you, Darren, for the question. I'll start, and then I'll let Rohini kind of get into some of the details there. I mean the first thing I would say that I just want to make sure folks understand that profitability is a part of the DNA of our company. It's kind of who we are. It's how we built the company from day 1. It's being an account at heart, my grandmothers were accounts like it's just who we are. So like this focus on profitability, while we've shifted from kind of focusing on the growth to also add the profitability focus in these conversations with investors, it's not a new thing for us. And so we've been steadily increasing profitability over the past few years. We have a lot of opportunity to continue to do that. And that's why we are comfortable and believe that the Rule of 40 is the right target for us. I'll let Rohini start to talk about kind of the time line for us sharing more on that.
Rohini Jain: Yes, absolutely. There are so many ways of calculating the Rule of 40, but the spirit of all of those is largely the same. We are being very thoughtful about how we define it for our business because the goal is not just to choose a formula, but really to ensure that we're truly reflecting how we create the durable value for the business, right? And the idea is to be able to balance growth and margin. We look forward to sharing our framework and the rationale that we adopted for the Rule of 40 during the Investor Day in the first half of the calendar year '26. So this is still a work in progress, and you'll see it soon.
Darrin Peller: Okay. All right. Guys, a quick follow-up. You beat the quarter in terms of beating your own guidance on top line. And so maybe just help us understand what was the -- it looked like some spend trends on some of the SME side, but perhaps a little more color on what you thought was the driving force of the upside and sustainability of that as we see going forward.
Rohini Jain: Yes, absolutely. So let me start with the beat on operating income, excluding float. Float has some other assumptions that I can talk through later. So on the -- excluding float OI, we had a beat of roughly $11 million. I would categorize $5 million of that as what I would call timing as we were contemplating a reduction in force we decided to pause and slow down not only hiring, but also the other investment spend as we settled the organization a little bit. So that drove a little bit of in-quarter benefit that we expect to spend into the rest of the year. The rest of, I would say, $5 million or $6 million of flow-through is a combination of -- we had a small onetime goodness that came in through losses, which quarter-to-quarter fluctuates and we had a bit of a goodness there. But about, I would say, $4 million to $5 million were still good flow-through of the efficiency efforts that we've been executing on as we go through the year. So that is the part that will flow through, which resulted in a $16 million increase in the operating income ex float guidance. If you look at the OI at a total level, including float, there was -- we always follow the guidance of the consensus. So there was one more rate cut that was added to the consensus, which we have incorporated into our guidance now. This impacted our OI by about $5 million, as I think stated in my script. So that is offsetting impact to the $16 million and the rest was flowing through. So I hope that helps answer your question.
Operator: Our next question comes from Keith Weiss with Morgan Stanley.
Keith Weiss: This is Keith Weiss from Morgan Stanley on for Chris Quintero. Congratulations on a solid start to the fiscal year. I was hoping to dig into the embedded 2.0 initiative a little bit further. And maybe particularly like when it comes to a vendor like NetSuite, 3 kind of parts of the relationship I'd love to get more detail on like one, product functionality, like what's the incremental functionality that BILL is bringing? And is there overlap? Because I know NetSuite has an AP module and they do payments. Is there overlap? And how does that get resolved, number one? Number two, on the go-to-market side of the equation, is this just a technical integration? Or is there a go-to-market component from the NetSuite or the embedded sellers, if you will? Like are they helping to sell the solution? And then number three would be on the monetization. Should we think of this as more as like an OEM relationship where the customer is NetSuite and they're selling the solution to the customer? Or is this just a way for you guys to address existing NetSuite customers directly with a solution that's already embedded into something that they're using already? That would be amazing.
René Lacerte: Okay. Great. Thank you, Keith, for the question. Good to hear your voice. So I think I'll answer your question, and I'll probably go into a little bit more detail about Embed because it's a super important part of our strategy and a differentiator for us. So I think the first thing on the product overlap and how it's going to work inside of NetSuite. The Embed 2.0 platform enables us to extend the APIs into the experience that our partner is developing. So if you're a NetSuite customer, you obviously have a full ERP to be able to manage lots of your P&L, all of your P&L. And now you'll be able to make payments courtesy of bill inside of that. Those payments will start with the existing obvious payment choices of check and ACH and soon follow a virtual card and eventually all the other payment types that we have. And so the experience is you're inside of the application, the ERP and now you can make payments and that it takes full advantage of the network and the payment products that we've built. So from a go-to-market perspective, the second part of the question, it's really -- one of the things we've learned of being partners for lots of FIs and other companies in the past is that we have a ton of market expertise for how to sell this. So we are working with NetSuite and the team there on their go-to-market and how to extend this. Obviously, in product is going to be a key part of the experience, but there's opportunities. And we just take the launch. It was announced on the center stage first announcement that they did at SuiteWorld, where Evan and I had a fireside chat. So there's going to be lots of ways for us to continue to leverage what we know about our products and how to sell them through the customers and what they know about their products and how to sell through customers. It's going to be a joint effort, and we'll be a part of that. And the third thing around monetization and just kind of the opportunity for BILL. Ultimately, these partnerships are set up where it's going to be a rev share relationship. So opportunity for us to -- and incentive for them to have as much volume as possible on the platform. And the same is true for us. And then as we develop and extend the payment products we have, that's going to be good. So it's pretty, I would say, simple from that perspective, and we're aligned, and that's the focus of a good partnership is to make sure everybody is aligned. But let me just like step back now for a little bit on really just what sets us apart in the market. And so our philosophy from day 1 has been to meet customers where they are. Like I know SMBs and mid-market companies are hard to reach. Awareness is hard. It's a busy world. And so we've always worked hard to make sure that we could be where customers were looking for opportunities to improve their lives. And so you think about what we've done with accounts over 9,300 firms, that's because we have a partnership that we started with CPA.com, a division of the AICPA in 2008. That type of capability enables us to actually have customers like Steve Chaney, who has 1,300 clients on. But that's a partnership. We get to learn from that. It also -- we've built a 2-sided network in this effort to actually meet customers where they are. We have partnerships that leverage that, whether they're FIs or now software partners. And it's that success and that belief in meeting customers where they are that has driven and actually attracted these premier partners in NetSuite, Paychex and Acumatica. Just again, I think it's super important for folks to understand those customers alone, these partners that we just brought in this past quarter, they reached close to 1 million SMBs with over $1 trillion in spend approximately. And that's just an amazing opportunity for us to continue to meet customers where they are. So then you have to ask, why do they pick us? Why do they pick BILL? And I think it's really important to understand that, that's a key advantage of the platform that we've been building over the last few decades. And it comes down to 5 things. The first thing, our platform and ease of use. The Embed 2.0 platform is very easy to use. You can inject the APIs, you can inject elements, you can do all the things that a partner wants to do with our platform that's been built with 0.5 million businesses in mind and serving. They can do that day 1. That's the first point they pick us. The second point is the scale of the data. That really matters because our ability to leverage the risk and the payment timing benefits that we get from understanding the risk, that means our customers get a better experience day 1. The third thing would be the breadth of the payments that we have. We have more payment products and capabilities than anybody else in the market. We enable all these payments for our partners. They have to adopt them, but that's what they're attracted to. They want their customers to stay inside of their application. They don't want their customers to go outside to make international wires or to make card payments. They want them all inside of their application. We do that, the breadth of payments. The fourth thing is we have financial operations expertise. We have an amazing amount of knowledge and know-how around how SMBs, mid-market companies, how they want to work and how their financial operations impact their lives. They want access to that so they can build the experiences exactly the way that they need to inside of their application. And then the fifth thing, which I think is super important is the DNA of this company includes a partnership lens. We always focus on making sure our partners win. We do a great job of that. And when you combine all of that, there is nobody in the market that's offering an approach to serving partners the way we do with the scale we have. So I appreciate the beginning of the question, but I want to make sure that folks understood how important and valuable this is to BILL, and we're super excited about it.
Keith Weiss: Definitely sounds exciting. And maybe just as a quick follow-up. How expansive could embedded 2.0 be? Should we -- or Embed 2.0, should we expect to see -- would this be dozens of partnerships like this? Or would it be a more narrow focus on a group of key partners?
René Lacerte: Well, the capability of the platform can support as many partners as are out there. Our focus is going to be to make sure the partners we have really can drive value for BILL and our shareholders. And so we're starting with partnerships that make a lot of sense. There's going to be opportunities and -- opportunities that even some of our existing customers, for example, use the APIs we have as part of the Embed 2.0. So I think I would think of the platform as being scalable and capable to support whatever the market really wants to do, but we are going to maintain that laser focus on driving value for our business and for our shareholders.
Operator: Our next question comes from Spencer Anson with SIG.
Spencer Anson: I was just hoping to get an update on your invoice financing initiative. How has the program been scaling? And what are the key levers you have for driving expansion there?
René Lacerte: Thank you, [ James ], for the question. So we are super excited about the full portfolio of products we have. This one, invoice financing is great for suppliers, especially smaller suppliers that are on the network. We continue to see strong growth. I think one of the ways that we define our growth is in the emerging payment portfolio of products, and this would be a part of that. I'll let Rohini kind of give some of the specifics on that category as a whole, but we continue to see strong growth, and we think it's an important part of the overall product suite we offer.
Rohini Jain: Yes. I can add a couple of things on invoice financing. As Rene mentioned, it is a really important part of what we call our emerging ad valorem portfolio, which is now becoming a material part of our AP/AR transaction overall offering from a revenue perspective. So we discussed last quarter as well that we're not going to discuss individual pieces of the portfolio and each one of the products. But overall, this emerging portfolio nearly grew at 40% last quarter in Q1 year-over-year. So very exciting growth in that portfolio as the rest of the ad valorem portfolio continues to stabilize. The other thing that we are keeping in mind is the profitability balance with the growth. So we want to continue to be thoughtful of which risk tiers we take on with the invoicing portfolio, and we are pricing them appropriately to cover for the risk and the cost that comes with it, and that's going to be a real focus. So there may be some places we do trade-offs and just not follow rapid growth, but balance it with the profitability outcomes. Congrats on the strong start to the year.
Operator: Our next question comes from Bryan Keane with Citigroup.
Bryan Keane: Congrats on the solid results. I'm going to ask on the AR/AP kind of that take rate. Looked kind of flattish sequentially, but you guys are kind of reiterating kind of expect kind of the same kind of improvement that you saw last year. Can you just talk about some of the initiatives that are going to drive that take rate forward and how you feel about it after the first quarter going into the second, what we can expect?
Rohini Jain: Yes, I can take that, absolutely. So we had said last quarter that the AP/AR take rate will be similar expansion to last year, which was roughly 0.4 basis points of expansion. So we continue to reiterate that guide. In Q1, you saw very similar expansion as well. In Q4 last year, we had mentioned that AP/AR take rate was strong, and some of that was driven by the increased activity in international FX, where we saw some initial volume from pull-ins due to tariffs that were expected to happen. So we saw that normalize as we came into Q1. The numbers were very close to where we expected. And going into Q2, the only part of seasonality that I want to point out is that we see additional TPV coming into Q2 in the AP/AR portfolio, and that's largely as people are closing the December year. We see increase in TPV largely driven by the ACH volume and checks in some cases, which is lower monetization. So the take rate in Q2 goes down sequentially. But overall, it doesn't have an impact on the revenue, increase in TPV and lowered math of the take rate. And as I look forward, we are seeing some green shoots. Our emerging portfolio, as I mentioned, continued strong momentum. The revenue there grew nearly at 40%, and that will continue to drive the take rate expansion. In addition, we are in early stages of SPP, which is an important strategic addition to our portfolio as well. And as we are seeing, the value is resonating with the large suppliers. So as we exit this fiscal year, we expect it to start contributing to the take rate expansion as well.
Operator: Our next question comes from Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang: Just thinking about the shift to larger clients, it feels like maybe you're leaning a little bit harder into that. Correct me if I'm wrong there. Just overall, how might that impact the P&L and some of the KPIs? And also for the smaller clients that you're previously going after, are you going to assume that the partner channel will pick up some of the slack there? I'm just curious how those will be addressed looking ahead.
John Rettig: Yes. Thanks for the question. Yes, our mid-market focus, ultimately, we think, has the impact of driving stronger engagement, retention and growth from clients who adopt more of our solutions. So we're increasingly rolling out products in support of larger businesses. And I think we had several comments in prepared remarks that talked about quality of revenue and how we're making investment prioritization decisions based on improving the quality of revenue and where there are trade-offs that we need to consider, we're going to prioritize revenue growth, quality revenue growth over just pure customer acquisition, number of customers. So that shift to increasing investment in this mid-market segment ultimately supports ARPU expansion and other areas of revenue growth. And the economics typically work out for us very good. We have strong unit economics. We have very good lifetime values because of multiproduct adoption and higher TPV per customer from this mid-market segment. So we think, as Rohini mentioned, our focus on balancing profitability and growth, it's additive to that priority that we have.
Tien-Tsin Huang: Got it. Yes, I didn't mean -- I just wanted to clarify so that helps. Maybe as my quick follow-up, thinking about the agent question again, I know it was asked a couple of times differently around monetization and whatnot. But if there is so much in the way of savings that you're presenting back to the clients, including the W-9s, et cetera, it does feel like you can participate in some of those savings. So is that how you're thinking about some of the pricing around that? Or is it really more about just lowering the cost of delivery? And then one more point, sorry to ramble. Is there a pipeline of more agents that we can expect this fiscal year or maybe even sooner than that?
René Lacerte: Yes. At the highest level, the agent is -- the agentic approach is really what we've been doing all along, which is to make things simple for businesses to save them time, to save them money because time is money for them. And so the first thing we want to do is make sure we create a great experience. Creating a great experience actually gives you the opportunity to reach more customers as well as to charge appropriately for the value you're creating. So Tien-Tsin, I think that you will see both. I think we will see these agents help us. One of the agents we talked about was onboarding for SME customers, the ability for an SME customer to get the cards, the virtual cards across their suppliers automatically just by uploading and looking at prior expenses to be able to drive volume real time for those customers in the early days. So I think that you will see that the agents will both drive activity on the platform as well as opportunities for us to charge appropriately for the value that we're creating. I think we are early days in that. And there's a broader pricing strategy work that we are doing that John is leading that will incorporate that as we roll them out. As far as to the pipeline of agents, I'll just step back. I think in the May quarter, we talked about -- actually, it was actually August, we talked about the ability for AI platform that we worked on all last year to create a platform for our teams to be able to execute quickly around ideas and opportunities that they see. So we will see, I think, lots of agents. I think we will try to make sure they are bucketed, if you will, into the appropriate parts of the product because it could be overwhelming if you think about all the things we're going to do. But there is a lot of opportunity for us to leverage the expertise that we've developed across a couple of decades and all the payments and volume that we've done to be able to drive even more efficiency for SMBs. So we're super excited about it. The teams are excited about it, and we look forward to rolling them out as we continue to leverage the data and the capabilities that we have.
Rohini Jain: Yes. Can I add some more color here? Tien-Tsin, we are also thinking about a two-pronged approach here, right? There are some agents that are very key to our products and are essential agents to what we do, and they will be included and it's sort of given to all of the users of the product. But that will provide us opportunity to create more pricing on the same subscription plans because we're now adding more value. Additionally, we also will have higher-value agents that will be priced based on access and how much you use it. So this will be a two-pronged approach that we are pursuing right now.
Operator: The next question is from Nate Svensson with Deutsche Bank.
Christopher Svensson: I was hoping to get a little more detail on the BILL cash account. It sounds super, super interesting. John, I think you had that one quote from a customer, but would love to hear a little bit more about the earlier feedback that you've gotten. And then you also mentioned revenue benefits both to customers and to BILL. So I would love to hear about both sides of those coins, especially with regards to how your revenue generation might benefit from this.
René Lacerte: Thank you, Nate, for the question. I'll start and then I'll let John cover anything I missed. So I mean, I think the first thing that as a reminder for folks that haven't been following BILL as long as I have, obviously, the original name of the company was Cash View. And it was Cash View because the pain point I felt running my prior start-up was I needed help managing cash flow, which involved payables, receivables, spend and expense and obviously, the treasury services that come with the cash account. So this is a strategic part of our mission of making it simple to connect and do business and getting the product in motion from regulatory and product perspective, all of that has been work that the teams have been working on now for a little bit. And we're super excited because with this, it means that customers are going to save a tremendous amount of time and have more clarity about what they're doing. So the reason I say they have more clarity is if you think about kind of the -- this is being the first step to world-class treasury services, having an operating account where you can see all the details of the transactions inside the account, that's not something businesses have today. You will be able to see with the BILL Cash Account exactly who you paid, when you pay them, how much you paid them and link back into the information that was the sporting information for that transaction. That's a unique advantage when you're trying to understand your cash flow. The other thing that this product gives you because when the cash is in the BILL Cash Account, we are able to make faster payments. Faster payments matter to SMBs every day. And so our ability to be -- to do that goes up with this. We think that leads to us bringing off-line payments into the BILL ecosystem. That's super important because we know there's spend that happens outside of BILL, and we want to make sure it happens in the BILL platform because of all the capabilities we give our customers to track, to manage, to do workflow, to have efficiency gains, all of that is super important. And so the fact that you have the cash account means now you can pay leveraging the BILL platform across 10 different payment vehicles that we have anywhere in the world, pretty much next day to real time, depending on the service you're doing. And that's a real customer benefit. And what you heard from Steve Chaney, which I just love hearing about a customer that 6 years ago didn't have any customers on the platform. This is a new business for him. Now he's got 1,300. This is a critical part of how he's thinking about supporting the nonprofits and the churches he supports across this country. So all of that's because we built a great product. Now to your business question, the opportunity from a revenue perspective is real for both BILL and for our customers, giving them interest income, operating account that you don't normally get, this is an opportunity for businesses to get something on their working capital account. It's an opportunity for us because typically, with our payments that happen on the platform, we have the funds for 2 to 3 days. If a customer uses to BILL Cash Account, those funds will be in the account forever how long they want to manage their account. That could be 2 weeks, it could be a month, who knows. We are starting to learn that experience, and that will give us an opportunity to earn revenue that's different than the float revenue we get today. So super exciting to get this in market. It's strategic, and we're looking forward to rolling this out to more customers, and we'll give you an update as that happens. Yes. And John, go ahead.
John Rettig: Yes. And just one thing to add on the economics, the monetization associated with the product. One of the things that we're seeing with the early adoption of the rollout here is that having an integrated cash account is likely to bring more TPV onto the platform. And as Rene said, it stays within our ecosystem for longer. So that additional TPV from offline to online in the BILL platform creates an opportunity for incremental ad valorem adoption. So that's the primary monetization method. And the secondary one that Rene mentioned is by having balances in our system for longer, that creates an incremental float revenue or transaction revenue stream for us as well.
Christopher Svensson: That's super interesting stuff. I appreciate the detailed answer. I guess for a quick follow-up, just on the spend and expense rewards continues to tick up a little bit. Rohini, I think you talked about scrutinizing the structure there and then that eventually flattening out. So maybe would love to hear some specifics on what you're doing in terms of that scrutiny. Is it specific client contract? Is it more broad-based changes to the reward structure, maybe it's the front book? Just any details there? And then how long it takes for us to kind of level out with where we're at on rewards?
Rohini Jain: Yes, absolutely. So I'll make this quick. We have demonstrated a strong track record of expanding profitability, and we're looking at all the levers at our disposal right now. And this is one of the critical pieces of our overall spend portfolio. So what we're thinking of doing is evolving the reward structure to tie in more directly to the revenue and the overall economics that we get from the customer and not just spend. So we're being very selective in how we will, going forward, use the rewards as an acquisition tool for high-quality and high monetization customers. And if we have to, we will make disciplined trade-offs to drive that profitability growth. So we believe that this will result in rewards flattening out over time and then declining as a percentage of TPV as we exit the year.
René Lacerte: Thank you, Nate. I think we're out of time. So I'll go ahead and -- thank you, Lydia. So thank you, everyone, for joining us today. I want to thank our teams for executing with strong rigor and discipline while continuing to innovate. The initiatives we are taking are driving meaningful profitability improvements and position us well for durable, profitable growth in the years ahead. Have a great evening. Thank you.
Operator: This concludes today's call. Thank you very much for joining. You may now disconnect your lines.